Operator: Good afternoon, ladies and gentlemen, and welcome to Lumos Pharma's Second Quarter Results Conference Call. Currently, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I will now turn the call over to Lisa Miller, Senior Director of Investor Relations. Ma' am please go ahead.
Lisa Miller: Thank you. Before we proceed with the call, I would like to remind everyone that certain statements made during this call are forward-looking statements under U.S. Federal Securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. Additional information concerning factors that could cause actual results to differ is contained in our periodic reports filed with the SEC. The forward-looking statements made during this call speak only as of the date hereof, and the company undertakes no obligation to update or revise these forward-looking statements. Information presented on this call is contained in the earnings release we issued this afternoon, which may be accessed from the investor relations page of the company's website. Joining me on today's call are Rick Hawkins, CEO and Chairman; John McKew, President and Chief Scientific Officer; Dr. David B. Karpf, Chief Medical Officer, and Lori Lawley, Chief Financial Officer and Corporate Controller. Following management prepared remarks, we will open the call to your questions. I will now turn the call over to Rick.
Rick Hawkins: Thank you, Lisa. And good morning, everyone, and thank you for joining us on today's call. This morning, we issued a press release detailing our results for the second quarter 2021. Since we held a call on July 21 to provide updated guidance on our clinical programs. I will keep my remarks brief before turning over the call to my colleagues for additional updates on our clinical trials and our financial results. Then we'll open the call for your questions. I'll begin with the reason steps we've taken to enhance our advisory board and strengthen our management team. Last week, we were pleased to announce the appointment of Dr. Mark Bach to our Clinical and Scientific Advisory Board or CSAB. Dr. Bach joins our distinguished panel comprised of noted Pediatric Endocrinologist Dr. Peter Clayton, Reiko Horikawa, George Werther, and CSAB Chairman, Dr. Ron Rosenfeld. Dr. Bach is currently Chief Medical Officer for ShouTi and previously was Senior Vice President American Medical Sciences at Ascendis Pharma. He is a pediatric endocrinologist with 30 years of clinical research and pharmaceutical development experience, including extensive global experience building and leading clinical teams that have successfully launched innovative pharmaceutical products enter worldwide markets. Prior to Ascendis, Dr. Bach spent nine years at Janssen, a subsidiary of Johnson & Johnson, concluding his time there is Head of Asia Pacific Medical Sciences and Head of China R&D. And prior to Janssen, Dr. Bach held positions of increasing responsibility in clinical research at Merck & Company, ending his tenure there as Vice President of Clinical Research Operations Worldwide. Now, early in his career, Dr. Bach conducted extensive clinical and preclinical research on growth hormone, IGF-1, and LUM-201, formerly known as MK-0677. With data from his work published in scientific and medical journals. He brings to our advisory board a wealth of knowledge and experience with growth hormone related disorders and a significant understanding of the unique advantages of LUM-201 is offered to the growth hormone deficient population. We are obviously thrilled to have him join our esteemed advisory board and look forward to his contributions to Lumos Pharma's clinical and commercial strategy. And earlier this week, we also announced the promotion of my respected colleague and friend John McKew to the position of President of Lumos Pharma. John has served as our Chief Operating Officer since April of 2020, and our Chief Scientific Officer since he joined Lumos Pharma in 2016. John has nearly 30 years of experience of developing novel therapeutics primarily for rare diseases, and successfully advanced multiple therapies through preclinical and clinical development. And prior to joining Lumos Pharma, he served as Vice President of Research at aTyr Pharma, where he lead a research team discovering and advancing protein based therapeutics for rare diseases. He is also served as acting Scientific Director for the National Center for Advancing Translational Science or NCATS, Intramural Group, a part of the National Institute of Health NCATS, his labs work on rare and neglected tropical diseases and public private partnerships led to the collaborative advancement of several therapeutic candidates currently being commercialized by pharmaceutical companies. John's promotion to President of Lumos Pharma is in recognition of his vital contributions in advancing LUM-201 for the treatment of PTSD as part of the succession planning conducted by the company and our Board of Directors. John has extensive clinical and management experience at the NIH and in the pharmaceutical industry, including his contributions during his tenure at Lumos Pharma positioned him well to serve in this new role. And on Tuesday, we announced the expansion of our management team with the addition of Dr. David Karpf, as our new Chief Medical Officer. David is an endocrinologist, an academic and accomplished biopharmaceutical executive and is currently an adjunct clinical professor in the Division of endocrinology at Stanford University School of Medicine. David has 35 years of experience in the field of Endocrinology and as a Biopharma Executive he has 30 years of experience in all facets of biopharmaceutical clinical development, from preclinical through Phase 4, regulatory interactions with both the FDA and international agencies and marketing and launch activities. Most recently, he was Vice President, Clinical Development and Clinical Operations for Ascendis Pharma, where he was responsible for several compounds and clinical development, including TransCon GH long-acting growth hormone for once weekly treatment of growth hormone deficiency. He previously served as Chief Medical Officer for several biotechnology companies. And he has also held leadership positions in clinical research and endocrinology at both Roche and previously at Merck, where he gained familiarity with our therapeutic candidate LUM-201. And we look forward to David's guidance and assistance in advancing LUM-201 toward commercial approval. So welcome, David.
David Karpf: Thank you, Rick for your kind introduction. And good afternoon everyone, I only wanted to add how excited I am to join the Lumos team. As Rick mentioned, I'm very familiar with LUM-201 asset from my time at Merck. Based on my experience treating growth hormone deficiency and my experience developing a long-acting growth hormone for patients with GHD, I believe that LUM-201 as an oral therapy is potentially a breakthrough advance in this therapeutic area. Lumos has a well-developed clinical plan to advance these assets and I look forward to working with Rick, John and the rest of the team to execute on our clinical strategy.
Rick Hawkins: Thank you, David and again, welcome and before turning the call over to John for an update on our clinical programs. I just want to highlight common theme and visa point. And that is the view held by many experts in endocrinology of the potential of LUM-201 to be a breakthrough oral therapy for the treatment of PGHD. On the strength of that potential, we believe Lumos has put in place the talent and expertise needed to advance this asset and realize its full commercial expectations. So with that, I'll turn the call over to John.
John McKew: Thank you, Rick, and welcome, David. We're all looking forward to working with you. As Rick mentioned earlier, we provided updated guidance on our clinical programs on our call on July 21. As a reminder, the six-month primary outcome data readout for OraGrowtH210 trial is now anticipated in the second half of 2023. The extension was prompted by initially slower pace of site initiation - due to ongoing COVID-19 restrictions at certain international sites, and a disruption of the typical referral patterns for this patient population. We further expect referral patterns to normalize as children return to school and communities adapt to the persistent presence of COVID-19. As we continue to open new clinical trial sites for this trial, we are beginning to see the pace of screening and enrollment increase as compared to the first half of this year. Separately, we also announced the extension of the protocol for the OraGrowtH210 trial for an additional six months on therapy in response to the FDA request for 12 months data prior to the initiation of our previously planned three-year long-term extension study the OraGrowtH211 trial. Again, the primary outcome data readout of the OraGrowtH210 trial remains at six months on therapy. This OraGrowtH210 protocol extension mirrors the previous plan for this first six months of the OraGrowtH211 long-term extension study. We believe the extension of this trial will provide a more robust data package for future regulatory filings. The OraGrowtH211 trial was proposed to capture long-term treatment effects for patients who responded to LUM-201 in previous trials. However, that study was not on a critical path for the initiation of a Phase 3 trial. We announced the initiation of our OraGrowtH212 trial in Q2. We subsequently announced the proposed extension of the treatment period of this trial from six months to 12 months. OraGrowtH212 is a small single site open-label trial to illustrate the pharmacokinetic and pharmacodynamic effects of LUM-201 in PGHD and replicate the pulsatility data that currently exists for LUM-201 in adults and in a small subset of children from the Phase 2 020 trial. We also decided to extend this trial to capture additional PK/PD and height velocity data. The PD pulsatility assessment will continue to be assessed at six months on therapy. The trial was initiated in June and is currently enrolling patients. To recap both the OraGrowtH210 and OraGrowtH212 trials will provide data readouts at six months on therapy as was originally planned. The extensions to 12 months of therapy will enhance the supporting data package for our overall LUM-201 program. Furthermore, we do not anticipate these protocol changes on a standalone basis to extend our clinical development timeline. With that, I will turn the call over to Lori, who is joining us for the first time in her new role as CFO for a review of our second quarter financial results. Lori?
Lori Lawley: Thanks, John and good afternoon, everyone. We ended the second quarter on June 30 2021, with cash and cash equivalents totaling $107.7 million, compared to $98.7 million on December 31, 2020. Cash on hand as of the end of Q2, 2021 is expected to support operations through the six-month data readout from both the OraGrowtH210 and OraGrowtH212 trials. We have research and development expenses for the second quarter of $4.1 million, an increase of $1.4 million over the same period in 2020. The change is primarily due to an increase of $1.8 million in clinical trial and contract manufacturing expenses, offset by a decrease of $0.4 million in personnel and operational expenses. Our general and administrative expenses in the second quarter were $4.6 million, an increase of point $0.4 million compared to the same period in 2020. This increase is due to an increase of $1.1 million in personnel-related expenses primarily due to the recording of severance expenses pro forma CFO offset by decreases in legal consulting and operational spend of $0.7 million. The net loss for the second quarter was $8.7 million, compared to a net loss of $5.4 million for the same period in 2020. We ended Q2, 2021 with 8,357,391 shares outstanding. And with that I will turn it back to Rick for closing remarks.
Rick Hawkins: Thank you, Lori. So before taking your questions, I just want to say we've advanced our discussions with key opinion leaders in our clinical Scientific Advisory Board to expand our LUM-201 platform. We are actively reviewing the pathway for LUM-201 and a certain subset of affected patients and other potential indications including Turner Syndrome, Prader-Willi Syndrome, Idiopathic Short Stature, and for Children Born Small for Gestational Age. We're confident in our belief that LUM-201 represents a pipeline and a product and look forward to advancing the next phase of the LUM-201 lifecycle and we’ll provide further updates when we're ready to discuss comprehensive clinical plans. In addition, we continue to evaluate select rare disease assets under consideration to add to our product portfolio. And as I stated before, we're being highly selective and judicious in our process, and will focus on our decisions on what provides best long-term value creation for our shareholders. The enhancement of Lumos Pharma’s leadership team and encouraging recent trends and screening and enrollment for both OraGrowtH210 and OraGrowtH212 trials are positive developments for the company. John, David and Mark each bring significant clinical development and management expertise to their new roles with the company and strengthen our ability to execute on our clinical and corporate strategy. We believe that as schools reopen and pediatrician visits resume, we should see increased referrals and accelerated enrollment in our trials this fall. So with that operator, we're now ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Yasmeen Rahimi of Piper Sandler. Your line is open.
Unidentified Analyst: This is Felicia on for Yas, thank you so much for taking our questions. So we have two free this morning first, do you guys think that you'll be opening additional sites to maintain enrollment timelines? And if yes or no, could you please just provide a little bit of color on that? And next we were wondering if your current cash balance is sufficient to build up your pipeline, while also getting to the finish line for OraGrowtH210 and OraGrowtH212 studies? And should we be expecting pipeline expansion of LUM-201 in 2021 or 2022? Thank you.
Rick Hawkins: The first question, I believe we've anticipated for a quite some time, the concern over COVID-19. So we do site expansion to about 52 sites quite some time ago. And as I’ve mentioned earlier, majority of the sites are open. And we're rapidly advancing in trying to open the rest of those sites. And also I think there's a very broad geographic distribution. So once again, I think that's going to help us too, but beyond to about 50 or 52 sites, we have planned right now. I think that's going to be sufficient to meet our enrollment. And in terms of cash, we're in a very strong position. And as Lori said, we can get a readout on our 210 to 212 studies. It also means we were going to have to be that much more judicious in our review of anything that we want to bring into the company. This may open up us to looking at assets that are more in the preclinical or actually close to the clinic. But at the same time, want to emphasize that we have a robust process in place. And we're being very careful and judicious in our review of anything that we want to bring in as an asset.
Operator: Thank you. Your next question comes from the line of Charles Duncan of Cantor Fitzgerald. Your line is open.
Charles Duncan: Yes, good morning. Thanks, Rick and team for the update as well as taking my call. Congrats on all the new joiners, if you will, on the management team. I had a couple of questions. First of all, perhaps for John, in terms of LUM or the 210 study, I guess I'm wondering if you could remind us of the screen versus enrollment rates that you're looking for the screen failure rates given the PEM. And it seems like and just maybe help me understand the second half of ‘23 data. It just seems like a year and a half to enroll this study is long. So is it perhaps that you're being overly conservative? 
Rick Hawkins: John, go ahead.
John McKew: So let's - we can talk first about the screen failure rate. So our assessment of the screen failure rate or the percentage of patients with a PGHD diagnosis who are PEM positive, which I think is the important part here. As we've published recently, in the Journal of Endocrine Science we did an analysis of a very large 20 yearlong multinational Phase 4 study, called the GeNeSIS dataset, which is based on the least experienced with there were common human growth hormone product. And we were able to apply our PEM cut offs to that dataset and generate a much broader in a large dataset, a very nice assessment that’s about 60% of the patients would be PEM positive. Obviously, we're working on a much smaller scale, then that dataset as we do screens for our study. So we don't expect to have data that - that is going to be as telling as the GeNeSIS dataset. So I think that's the screen failure set. And then for the second part of the re-guiding, really it isn't about screen failures, it really isn't about anything other than just a slow recruitment, that is based primarily, well slow process that's based primarily on delays that were primarily attributed to COVID-19. I would say that I think we are being conservative, we want to guide the market on a timeline and a pace of patient recruitment that we think is achievable. And we will work very hard to not only achieve that, but do what we can to beat that.
Charles Duncan: Okay. Go ahead. Go ahead.
John McKew: So I might add Chase. I mean there's no question. There's a concern in everybody's mind about the COVID-19. And its current status. We want to be conservative in our prediction at this stage. But our certainly believe that, with the number of new screen patients, it's encouraging.
Charles Duncan: Okay. And then if I may, and I apologize upfront, but Dr. Karpf, I'm going to put you on the spot. And that is, basically a question of why join LUMO. And really, what I'm interested in, I'm particularly intrigued with a Secretagog and pulsatile release of growth hormone, and how that may be different than, say, a simple replacement therapy.  And I'm not being dismissive of the convenience and compliance benefit, but I'm just kind of wondering mechanistically if you could provide your thoughts on those different mechanisms?
John McKew: Well, I could not agree with you more actually. So what I have been attracted to with the molecule I knew is 677 is precisely that, I mean, talk about a physiological replacements. It's been known for a long time that once weekly, once daily, neither one of those modalities, actually recapitulates, the normal growth hormone access, which is basically a very low basal with spurts of growth hormone mostly at night multiple peaks. And I was struck when I was at Merck with, I mean it was an oral agent, you can take in the morning, take at the evening, and what it did was simply enhanced the normal growth among peaks. I mean, talk about a marvelous design of a drug. Now, when I was at Merck, Merck was all about large populations, they were the antithesis of a company that was interested in a rare orphan indication. So this was a beautifully designed drug, and they wanted to try to search out a big population, and they chose sarcopenia in the elderly, which unfortunately lacked and I think continues to lack a registration endpoint. So that was their attempt, I think to make a large market like hypertension, hyperlipidemia, osteoporosis out of this molecule. But they had enough faith in this. They did license it to a colleague of mine, Michael Horner for development in PGHD. And I'm very excited about this. Now I'm on bullish about TransCon growth hormone. I'm a little bit less bullish, but really bullish about so I'll pass it in. But what I see I mean, when I retired from Sanders last September, I was very happy seeing my 600 patients at Stanford and doing some consulting. And I really did not have any intention at that time of getting back into a full time physician. When Rick called me and I realized what this molecule was. I mean what excites me is that I've been able so far to bring three effective. Well, I've really three potential MBAs and brought two effective drugs to patients, and very soon, a third drug to patients for unmet medical need. And I view this opportunity with LUMO sales. My last great chance of bringing a really effective drug to a significant unmet need in patients. I think that for the appropriate patients, this will be a very, very good treatment of their growth hormone deficiency. Did I answer your question?
Charles Duncan: Yes, absolutely. And really appreciate all the color. I'm looking forward to seeing it move forward as well. Last question is for Rick, perhaps on strategy? I guess, you mentioned the pipeline, and it would seem to me that you have - you're kind of your hands full with LUM to a one, and it's a promising candidate. And I guess I'm wondering, how you look at it in terms of being a pipeline and a product, with other indications relative to in-licensing opportunities, it would seem to me that the capital markets have kind of competed against you with regard to the latter aspect of that or route in terms of that strategy. And I'm wondering if there's a favorite, leading additional indication that you would want to highlight for LUM-201?
John McKew: It’s good question Chase. And I want to say that, first and foremost, our priority remains to stay focused on executing on our OraGrowtH210 study and 212 study plan. I think that also evaluating other indication of our compound, because of this unique mechanism of action would likely be beneficial and provide. And we're going to provide updates on a - at the appropriate time when those plans are more fully cooked. But I obviously did this unique opportunity with this compound and because we're - and we are engaging all of the important KOLs out there as we lay out our plans, you'll be the first to know. I think it's prudent for us, though to continue, based on our extensive backgrounds in the rare disease space, to continue to look for opportunities they’re other assets out there. Now if you know, we've been doing this for quite some time, and we haven't pulled the trigger on anything. And that's because we have been as careful and as judicious as we possibly can. Because anything that we do, we want to make sure it’s a strong value proposition for our shareholders and that's all that is to it. But I think it would be imprudent for us not to have a process in place to find a unique asset, just like the unique assets that we're developing in LUM-201.
Charles Duncan: Very good, thanks for taking my question. And appreciate the update.
Rick Hawkins: Thanks.
Operator: Your next question comes from the line of Ed White of H.C. Wainwright. Your line is open.
Ed White: Good morning, thanks for taking my questions. So maybe start with a question for Lori curious as to R&D spend going forward? We would expect to see the trend going up as the trials are initiated sequentially R&D expenses were down. I'm just wondering if you can give us some thoughts on how we should be thinking about the next two quarters for R&D expense?
Lori Lawley: Sure, and thank you for the question. And so, sequentially compared to Q1, we had some severance costs that were recorded in Q1 for the departure of our former CMO of approximately $1.4 million. I would expect and anticipate that our Q2 spend is reflective of what we will expect going forward with increases as we advance our clinical trials and path forward towards the register - towards Phase 3 trial.
Ed White: Great, thank you. And John congratulations on - your new role and title. I’m just wondering how your role is changing within the company if you can give us any thoughts to that?
John McKew: Well, thank you for the congratulations Ed and really, I think the focus will continue to be similar to the role I have been playing. I think it's a promotion where I'll be able to focus on both the operational and scientific aspects of the company and making sure that we deliver on all the aspects of our guidance.
Ed White: Okay. And maybe just the last question I have, we've been talking about enrollment in the 210 study. And I'm just curious on two things. Now that we're seeing, you had mentioned that as children go back to school, there could be perhaps more pediatrician visits. We could see more interest in the studies. I'm just wondering how you're thinking about the Delta variant? And - what is that going into your thought process on enrollment trends. And then when could we see you give us an update on what the actual enrollment are in these two studies will you be telling us when you get, halfway there or maybe perhaps over the next few quarters, do you plan on giving us updates on how the enrollment is going? Thank you.
Rick Hawkins: Yes, I'll start with that Ed. We haven't stated it at any time in guidance that we're going to address when we're - a quarter or half or three quarters away through. We're just - we just have our noses to the grindstone trying to make sure that we're doing everything we can do to make sure the study goes as well as possible. Perhaps we would address the market at the more appropriate time, but right now, it's a little bit too early on.
Lisa Miller: And John, could you take his first question regarding the Delta virus impact.
John McKew: Yes, so I think the Delta variant is much like the alpha variant was last year, right. So the way we plan around that is, right now as Rick has mentioned, we have more than 50% of our sites up and running. Part of our delay in the past was as much about getting sites up through delays of getting through IRB's and interacting with lawyers and contract people at clinical sites who are working from home, which seemed that an enormous amount of time. And I think we have those sites up and running. And as we have mentioned, in the past, we have sites spread across various geographies in the U.S., but also internationally in Eastern Europe and in Australia, New Zealand. And I think the combination, of those two things are really going to help us kind of juggle, move from area-to-area where the pandemic waxes and wanes. But I also think regardless at this point communities are starting to learn how to live with COVID-19. I don't, it's hard to imagine that we would go through another school year with - remote learning for the entire year. I think we will find ways to be successful in educating kids, which will stimulate in trips to the pediatrician and referrals to the pediatric endocrinology.
Rick Hawkins: If I could just endorse what John just said, it absolutely mirrors my experience getting the transplant BtH studies enrolled under COVID, which is exactly what he said, the delay is getting sites initiated. But even the initial epidemic did not have a meaningful impact. Because once a kid is diagnosed, I mean the parents really want this kid treated. So there was really minimal impact in a subject coming into the site. All of the delay was in really getting the site initiated and all the hoops you got to go through to get a site initiated. So I just want to endorse what John said about that. I expect that to happen with the LUM-201 trial as well.
Ed White: Great, thanks for taking my question.
Rick Hawkins: Thank you, Ed.
Operator: Your next question comes from the line of [Kim Yung] of Jeffries. Your line is open.
Unidentified Analyst: Hi, good morning. Thanks for taking my question. This is UG calling in Kim [indiscernible] I have quick one question. So do you think that before starting Phase 3 the royalty agencies might ask for additional study where you'd have to compare the efficacy of LUM-201 and PEM positive versus PEM negative to show that the LUM-201 has selective advantageous activity in the positive population? Thank you.
Rick Hawkins: I'll tell you that since Dr. Karpf has just arrived, I think let John start with that question and perhaps let David finished it.
David Karpf: Yes, I'm comfortable making a stab at that, but go ahead.
John McKew: Yes so I think, we have works previous data set that we've analyzed, and we've separated up here positive PEM and negative, and there is dramatic difference. And obviously, we've published on that. So I do think, actually, that the PEM positive data, prospectively selecting those patients, and bringing them into our ongoing trial, is really going to be the proof that the FDA, and I think the market will appreciate as well, to show that this enrichment strategy really does work effectively. And remember, this enrichment strategy is based on physiology, right. So the kids were PEM negative, basically don't have an active access. They don't have enough somatotrophs, they can't store growth hormone they're not going to be able to respond to our drug, which is just going to stimulate the release of endogenous growth hormone. So it seems mathematical when you look at how we generated that data, but it is tied to physiology. And I think we can make that case very effectively to regulators, as well as in a scientific setting to show that as long as we can show the PEM positive kids are growing, we're able to enrich that population of responders with our cut offsetting. I think that will be sufficient evidence.
Rick Hawkins: And David, do you want to add anything?
David Karpf: Yes, I'll just say that, on the one hand, this is my second day at the company. But on the other hand, based upon my 30 years of experience dealing with the American metabolic group, I can say with I think some authority the following. First of all, I think the agencies like they're pretty payers are would be absolutely thrilled at the selection process to identify the best agents for the drug. I think that the Phase 3 trial, if I have a guesstimate, we're basically be about a two to one randomization between PEM selected patients or the LUM-201 Group versus unselected patients for daily growth hormone. And it'd be a 12-month study and the likelihood of having to go for PEM positive versus PEM negative, I would have any cap as close to zero as to be negligible. There's no rationale for that. I would be willing to bet a lot of money. It'll be PEM selected, versus unselected for daily growth hormone. That will be the Phase 3 study. You shall see.
Unidentified Analyst: Great, thank you.
Operator: Your last question comes from the line at Catherine Novack of Jones Trading. Your line is open.
Catherine Novack: Hi, thanks very much for taking my questions. I had a couple on pipeline expansion possibilities. First, as you think about potential BD opportunities, what are some specifications that you're looking at in terms of assets that you think makes sense in your portfolio?
Rick Hawkins: Catherine, thanks for your question. And you know, our criteria is really always included starting with a good strategic fit, a strong scientific rationale, and really a strong value proposition for our shareholders. We have been willing to look at the early stage opportunities, you're going to continue to do so on a very selective basis. But, and in above all, we'd like to stay in the endocrine space. I mean, we have a lot of experience, and especially with David arriving, I think the opportunities will are going to expand for us to look at. In our process, I think is a very good one. But as you know, we haven't pulled the trigger on anything because it hasn't met our really careful and judicious criteria.
Catherine Novack: Thanks, that makes sense. And then, when you're thinking about expanding LUM-201 into these other indications where growth hormone is approved. Do you have an idea of what subset of patients might benefit from the LUM 201 unique mechanism of action?
Rick Hawkins: John, why don't you start with that.
John McKew: So the only growth hormone deficiency population that LUM-201 it's been tested. Right now is in the PGHD population, right. So that's the population, we have a correlation of their PEM tests, back to growth rate, the outcome. So each of the other indications like growth and revenue is approved in has no unique facets to, to the etiology of the disease, right. Sometimes there are things, there is some growth hormone deficiency, and there are some downstream modulation of receptor activity or IGF one activity. So that's really where we've been spending our time is looking, looking through all those facets and trying to understand really the overall potential of LUM-201 in that area, and also thinking through how would pulsatility affect each of those individual disease states versus the bolus, right. So we have good ideas of how that might have an impact of PGHD. And we want to understand that for some of the other indications. And then, once we get past that, we do try to assess how frank is the growth hormone deficiency itself, in each one of these indications, and that's really can be an indicator of where our mechanism of action of stimulating the release of endogenous growth hormone is going to play in each one of these indications. And that's really, what we're building that dataset through mining, mining, information after history data about each one of these diseases right now, to put together our prioritized list of where we're going to go forward.
Catherine Novack: Thank you very much.
Rick Hawkins: Thank you, Catherine.
Operator: Thank you I am showing no further questions in the queue. At this time, I'll hand the call back to Mr. Hawkins for closing remarks.
Rick Hawkins: Well, we thank you for joining us today and we look forward to keeping everyone apprised of our program over the course of the year. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.